Operator: Good morning, ladies and gentlemen, and welcome to the Allegro MicroSystems fourth quarter and fiscal 2021 financial results conference call. [Operator instructions] I would now like to hand the conference over to your host, Ms. Katherine Blye, Senior Director of Investor Relations.
Katie Blye: Good morning and thank you for joining us today for Allegro's fourth-quarter and full-year results for fiscal-year 2021. I'm joined today by Allegro's President and Chief Executive Officer, Ravi Vig; and Allegro's Chief Financial Officer, Paul Walsh. We'll review our quarterly and annual financial performance and provide a summary of our outlook. Our earnings release and the accompanying financial tables are available on the Investor Relations page of our website. This call is being webcasted, and a recording will be available on our IR page shortly. Please note that comments made during this conference call include forward-looking statements within the meaning of federal securities laws. These forward-looking statements include projections and other statements about future events that are based on current expectations and assumptions and, as a result, are subject to risks and uncertainties that could cause actual results to vary materially from our projections. Please refer to the earnings press release we issued today and other documents filed by us with the SEC, including the risk factors discussed in detail in our most recent prospectus filed on February 8, 2021. The company assumes no obligation to update any forward-looking information presented. The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for the presentation of Allegro's GAAP financial results and may be calculated differently than similar measures used by other companies. We are providing this supplemental information because it may enable investors to make meaningful comparisons of core operating results and more clearly highlight the results of our core ongoing operations. A reconciliation of GAAP to non-GAAP financial measures referenced today during the call can be found in our earnings press release, which is posted to our IR page. I will now turn the call over to Allegro's President and CEO Ravi Vig. Ravi?
Ravi Vig: Thank you, Katie, and good morning, everyone. We couldn't be more pleased with the company's performance in fiscal '21 and the strong start and outlook of fiscal '22. We had a tremendous year, and fourth quarter exceeded our guidance with revenue finishing up 6% sequentially due to the strength across all our businesses. Profitability exceeded expectations due in part to further improvement in non-GAAP gross margins, which approached 51%. This resulted in sequential fourth quarter non-GAAP earnings per share growth of 15%, more than double our top-line growth. Consistent top and bottom line growth really speaks to our industry-leading technologies, alignment to growth markets like electrification and data centers and the flexibility and resilience of our asset-light manufacturing model. These building blocks combined with design wins exceeding our target by 40% give us confidence in the long-term outlook. We're expecting another record revenue quarter for the core business in Q1, fueled by new customer program ramps, increased content, the transition to feature-rich vehicle production and the global recovery. I'm proud of the team's execution and look forward to the future with considerable optimism as we focus on our commitment to customers and shareholders can navigate the supply imbalances in the industry. I'll share more about the status of the business and the outlook after we review the financial results. Paul?
Paul Walsh: Thank you, Ravi. We ended fiscal '21 with revenue of $591.2 million, an increase in our core business of 9% year over year. Q4 was a record for the core business, with revenue up 6.5% sequentially to $175.1 million. By end market, we grew sequentially and year over year across our primary focus areas. We delivered record revenue levels in both auto and industrial. Demand continues to surge to new highs, and our order visibility now extends well into fiscal '22. Automotive revenue increased 4% sequentially in fiscal Q4 to $118.5 million, up 12% year over year. For fiscal '21, automotive revenue grew $3 million to 398.3 million, up 1% year over year, overcoming the softness of the COVID impact early in the fiscal year. This compares favorably to global car production, which declined 8% in our fiscal '21 period, supporting the content per vehicle growth that Ravi alluded to earlier. Industrial revenue increased 23% sequentially and 31% year over year, reaching $29.1 million for the quarter. For the full year, industrial grew 21% to $94.9 million. Our other business revenue grew 2% sequentially to $27.4 million, up 80% year over year. For the full year, other grew 42% to end at $98 million. Despite meaningful growth across our top customers, we did not have any end customers greater than 10% in Q4 or for the full year. GAAP gross margin for the quarter was 49.7%, up sequentially again in the highest level of fiscal '21. For the year, GAAP gross margin was 47.2%. Q4 non-GAAP gross margin of 50.9% was at the top end of our guidance and was up 135 basis points sequentially. Non-GAAP gross margin was 50% for the full year. Non-GAAP adjustments include costs related to the Polar divestiture, the Thailand facility transition and stock compensation. This gross margin improvement reflects the progress made on our manufacturing transformation. And despite increasing input costs driven by supply constraints and other inflationary pressures, we expect to see continued margin improvement throughout the coming year. GAAP R&D expense was $28.1 million, declining by $2.8 million sequentially. GAAP SG&A expenses were $39.4 million, down from $67.7 million in Q3. Total GAAP operating expenses for the quarter were $67.6 million. Because of outperformance on the top line and operating income, variable compensation was about $2 million higher than we anticipated. Total non-GAAP operating expenses for fiscal Q4 were $54.8 million or 31.3% of revenue, an improvement of 150 basis points sequentially. Non-GAAP R&D expense was $27.6 million, which excludes stock-based compensation expense. Non-GAAP SG&A expenses were $27.2 million, excluding impairment charges and fees associated with the planned sale of our Thailand facility, transaction and one-time consulting fees, stock compensation expense, facility closure costs and a gain on the adjustment of contingent consideration for the Voxtel acquisition. We expect non-GAAP operating expenses to be in the range of $53 million to $53.5 million in Q1. GAAP operating income for the quarter increased to $19.4 million or 11.1% of sales, the highest level of fiscal '21. Non-GAAP operating income increased to $34.4 million or 19.7% of sales, rising by an impressive 24% sequentially on top-line growth of 6.5%. Fourth-quarter GAAP net income was $8.6 million with an effective tax rate of 49%. GAAP earnings per diluted share were $0.05. For fiscal '21, GAAP net income was $18 million with a tax benefit of $19.5 million. Fiscal '21 GAAP earnings per diluted share was $0.10. Non-GAAP net income increased to $28.3 million. Non-GAAP earnings per diluted share were $0.15, up 15% over last quarter and at the top end of our guidance. The Q4 non-GAAP effective tax rate was 16% and is expected to be in the 16% to 17% range for the upcoming quarter and throughout fiscal '22. Our current diluted share count is 190.9 million and is expected to rise to about 191.4 million in Q1 and about 191.9 million for the year. Our strong execution and business fundamentals continue to be evident in our balance sheet. Cash and equivalents from Q4 were up by $40 million sequentially to end at $204 million. We generated $56 million in operating cash flow in the quarter. Accounts receivable balances were $95 million. And we ended the quarter with DSO of 49 days, consistent with last quarter. Net inventory decreased by $7 million to finish at $87 million, reflecting strong demand and tight supply. Channel inventories continued to hover at historic lows, while POS sell-through was at historic highs. In fiscal '21, capital expenditures totaled $41 million as we made strategic investments in back-end capacity ahead of the anticipated recovery. We expect CapEx to increase in fiscal '22 to 7% to 8% of revenue to support continued growth in the business. We expect continued strength in cash flow throughout the year. In summary, we ended fiscal '21 with strong results across all financial metrics. We expect to continue making progress toward our long-term target model in fiscal '22 and look forward to benefiting from the structural changes achieved through our strategic transformation. I'll now turn the call back to Ravi to discuss the business highlights. Ravi?
Ravi Vig: Thank you, Paul. We're proud to say fiscal '21 was a memorable year despite the challenges of the COVID-19 pandemic. It was a year in which we executed our IPO and continued to make strong progress toward our strategic transformation. Execution on our four major areas of transformation, manufacturing, growth market alignment, sales strategy and R&D strategy, are effectively driving revenue and profitability acceleration. As we wrap up the fiscal year, I want to put that transformation into context. First, in terms of manufacturing footprint, we delivered ahead of schedule on our plans to streamline our back-end operations. We also announced a planned sale of our Thailand facility, an important step to enhance our gross margins. In parallel, we supported record volumes, particularly in the strategic focus areas, while ramping up new suppliers. Despite the pandemic's negative impact on the first-half demand and the sharp second-half recovery, our experienced team responded quickly with a well-managed inventory and supply chain strategy, enabling us to support revenue levels nearly a year ahead of where we expected this time in 2020. Second, we strengthened our business in high-growth markets. Nearly 50% of Allegro's design wins in fiscal '21 were in strategic markets, another step function increase. Third, our sales team realignment increased our customer base to include more than 100 customers over $1 million of revenue. Our increasing presence in the distribution channel directly contributed to the outsized growth in our industrial business. Channel revenue grew from 30% of revenue in fiscal '20 to 37% of revenue in fiscal '21. Fourth is the successful execution of our transformational R&D strategy. In fiscal '21, the R&D team released major technology innovations on xMR for xEV transmissions, cordless current sensors or inverters in xEV and solar and the industry's largest portfolio of automotive-grade, 48-volt power products for xEV. The R&D funnel has never been better aligned with strategic growth areas, with roughly two-thirds dedicated to new growth opportunities. I'm also proud to report we reached a record total -- record for total patents issued, bringing our total to 1,117, an impressive number for a company of our size and a reflection of the strength of our IP. The progress on our transformation positions Allegro to not only benefit from the COVID-19 recovery but to deliver sustained growth through new products, new customers and high-growth markets at a margin profile that drives leverage and strong bottom line growth. Now let me turn to the business results of the fourth quarter. Starting with products, magnetic sensor ICs reached an all-time record, growing 7% sequentially and 16% year over year. This reflected strength in automotive but also strong pull-through in our industrial end markets. For the full fiscal year, magnetic sensor ICs grew 3% and represented 65% of revenue. Our power ICs were up 5% sequentially and an impressive 36% year over year, also achieving record revenue levels. Power ICs benefited from pull-through in automotive, contributing to system content gains and established beachheads in a variety of industrial applications through our expanding channel. For the year, power IC products grew 23% and represented 34% of revenue. Our industrial revenue for the fourth quarter was up 23%, well ahead of expectations. Throughout the quarter, demand momentum increased, with increased -- with extended auto visibility from our large industrial customers and our distribution channel. Outperformance was fueled by three applications, up double digits sequentially: data center; building and factory automation; and green energy. In data centers, customers are adopting our embedded fan controllers to replace more complex solutions at a faster rate than we anticipated. We're also benefiting from the customer transition from single-phase to three-phase architectures, resulting in nearly tripling of data center revenue for fiscal '21. In building and factory automation, demand increased in warehouse robotics and security and surveillance. And we ramp new business in traditional applications like variable frequency drives and industrial motors. And we had record demand for green energy applications, particularly solar, as well as new business and EV charging stations. Lastly, broad-based industrial coming off a strong Q3 declined sequentially but grew significantly year over year and was up 13% for the full year. Looking into fiscal '22, we expect all of our major industrial end markets to grow. We expect outsized year-over-year growth in Industry 4.0 applications. We expect our momentum to continue in data center at a faster pace than end market growth as we continue to increase share and content. And we expect the broad-based industrial business to benefit from a growing presence in the channel. Turning to the automotive end market. Revenue increased sequentially by 4% to a new high for the business and excellent result in an industry supply constrained environment. We are benefiting from both demand recovery and our market leadership position. Additionally, the strength of our customers' demand reflects three important market dynamics aligned exactly with our order strategy: First, customer demand is shifting from car to light truck and SUV models, which benefits Allegro given a higher ADAS content in these platforms. Second, carmakers are increasing value-added features on current models to maximize the profit, driving demand for our sensor and power products across ADAS and comfort and convenience applications. Third, we are seeing a meaningful shift to xEV. We expanded our xEV customer penetration to more than 50 customers globally, including all of the market leaders. Combined, ADAS and xEV represented 33% of the automotive revenue in the fourth quarter and is expected to increase as a percentage of mix in fiscal '22. As you know, we have been working to bring the LIDAR products we acquired last year to the automotive market. I'm pleased to report we are on track and customer interest is very high. We're at the early stages of sampling to auto customers and expect to be able to report design win progress later this fiscal year. We continue to target lighter automotive revenue in calendar '24. For the coming year, we expect continued growth in automotive driven by automakers' increased investments in electrification and ADAS while also biasing vehicle production mix toward feature-rich vehicles. The supply/demand imbalance will continue impacting our near-term growth rate, but we continue to see strong market share gains driven by our design win momentum. Finally, Allegro's other business benefited from end market recovery, particularly in IoT applications. Growth will continue to be offset in the coming year as the COVID-specific momentum we experienced in fiscal '21 in printers and peripherals, for example, revert to historical norms. As a result, we would expect the other business to be down in fiscal '22. Now for the outlook. We believe we have demonstrated that we have a resilient supply chain. But we are not immune, of course, to foundry constraints and the challenges of addressing quarter-to-quarter shifts in product mix. In our experience, supply constraints, particularly of the magnitude currently facing the industry, tend to get a little worse before getting better. For that reason, we anticipate the industry will continue to struggle to meet both real demand and customer desire to build inventory throughout our fiscal '22. We intend to invest where we can to satisfy customer demand. And we'll continue to make decisions to maximize the long-term potential of the business versus solely capitalizing on near-term opportunities. Looking at the outlook for fiscal Q1, we expect revenue to be in the range of $176 million to $179 million. Given current supply constraints, we expect the automotive and industrial business to be up. We expect our other business to be down slightly. We expect non-GAAP gross margin to be about flat, reflecting increasing input costs in a tight supply chain. We anticipate non-GAAP earnings per diluted share of $0.15 to $0.17. As we enter a new fiscal year with backlog and visibility at an all-time high, we also have a good deal to be excited about in terms of our R&D pipeline, the impact of the ramp of our recent design wins and the differentiation we are delivering from process innovation to circuit design. As we capitalize on this recovery, we expect that Allegro's technology, content and market share expansion and gross margin acceleration will be the foundation of our long-term story. We will now be happy to take your questions. Katie?
Katie Blye: Thank you, Ravi. Operator, will you please review the question-and-answer instructions with our participants?
Operator: [Operator Instructions] And your first question comes from Gary Mobley with Wells Fargo Securities.
GaryMobley: Good morning, everybody. Thanks for taking my question. Congrats on the strong finish to the fiscal year. I want to start asking about your industrial mix and the impact perhaps that had on the gross margin for your quarter and your outlook. I believe you generate most of your revenue upside on the industrial side. Was that the main contributing factor to the gross margin upside in the quarter? And perhaps maybe if you can give us a little more detail on how your manufacturing allocation between Polar and UMC is impacting the overall gross margin?
RaviVig: Go ahead, Paul.
PaulWalsh: I'll take this. So Gary, in the quarter, what we began to see was the benefits of our manufacturing transformation with divestiture or the closure of the Thailand facility. We began to see that -- those benefits. That benefits all of our businesses because it's a process cost reduction. Certainly, industrial strength helps, but industrial is a little bit higher than auto just because it goes through our distribution chain primarily. And then as it relates to wafer supply, at this point, we're not providing -- or we don't have the specific cost differentials between Polar and UMC. But in this environment, we actually really -- Polar is really quite an asset to have as it provides additional supply to us.
GaryMobley: Thanks. Appreciate the color. And as a follow-up, I wanted to ask you about where you stand with respect to bringing up your manufacturing at TSMC. Thank you.
RaviVig: Thank you, Gary. I'll take that, Paul. So we continue to ramp TSMC. We're on schedule. We're on track. We had previously provided color, stating that we would see us begin our ramp at the later part of this year, and we would be in full swing by the middle of next year. And we continue to be on that track.
Operator: Your next question comes from Quinn Bolton with Needham.
MichelleWaller: Hi, guys. This is Michelle on for Quinn. Congrats on the nice results, and thanks for taking my questions. For the first one, with the Thailand facility transition, I believe you guys previously stated that it should be a 200- to 250-basis-point benefit to gross margins. I guess if you could just walk us through how you see that playing out over the year? Will there be a step-up in margins? Or are you expecting it to be a more linear progression? Just any color there would be helpful.
PaulWalsh: Sure. We -- as we've discussed in the past, the transition to a single-vacuum facility internally will add about 200 basis points. What we anticipate is that that would be a steady progression throughout the coming year. So the Q1 basically is evidence of a good -- a really good start to that by getting almost 51% in gross margin.
MichelleWaller: Okay. Great. That's helpful. And for my follow-up, just with the Polar facility, we understand how it's a strategic asset but benefiting you guys during this supply constrained environment that we're currently in. But could you guys walk us through the expected impact to gross margin as you may be using the Polar facility more so than previously expected?
PaulWalsh: So I'll start, and I'll let Ravi add on to it. As everyone is seeing, there are various cost pressures or input costs increases. Certainly, the mix at Polar adds some of that. But at this point, we're not breaking those out specifically. And we have a number of internal initiatives that are under way at various stages that really are to offset a lot of those inflationary pressures. So we feel good that we have -- again, we feel fortunate to have this as a supply for us to serve our customer base. And we have a number of internal initiatives to offset any cost increases we might see.
RaviVig: And if I could just take that on, Michelle. I think Paul correctly articulated, I think having this U.S. asset speaks to the resilience of our manufacturing model. And while other competitors may have -- or other companies in the industry may have been challenged with supply, we've been able to successfully ramp up supply sources to satisfy the market demands and respond to this and provide this extraordinary quarter in terms of top line. What I would say is that as we bring on other sources, our blended costs would continue to decline. And these other sources, especially in Asia, provide us additional capacity. They allow us to respond to the continued growth vectors of the company but also provide us a -- continue to improve our competitiveness in the marketplace.
Operator: Your next question comes from Blayne Curtis with Barclays.
BlayneCurtis: Hey, good morning, and thanks for taking my question. I wanted to ask you, you mentioned ADAS and xEV being about a third of revenue. I think it's been in that range for a bit. And then you talked about, I guess, increasing for fiscal '22. So I'm just curious, is that a function of market share? Or is it maybe just more adoption of things like xEV? And if any perspective on how much that could change for fiscal '22?
RaviVig: Yes. So Blayne, thank you for that question. So yes, the -- our ADAS business is experiencing growth in two ways. We would say that the ADAS business, as we define it, includes the drive portion of ADAS, which is steering and braking. We are seeing that cars continue to -- or vehicles, light trucks and SUVs in particular, continue to add more features associated with autonomous driving, which is driving -- which is resulting in an increase in content from -- of both sensor and power drivers. So there is a content increase story. There is a feature-rich production mix story from -- in terms of the car production, where the vehicles are moving from -- vehicle production is moving from small cars to light trucks and SUVs, which further drives business in our direction. And there's also a customer acquisition story that goes along with this, where we expect to see -- as we continue to add on new customers for our ADAS products. And we expect to continue to see this trend ramping this year.
BlayneCurtis: Thanks. And then I just wanted to circle back on the supply tightness. Obviously, everybody is seeing tightness. I'm just kind of curious; you mentioned that it's impacting growth. Is it your tightness? Or is it tightness of some other components that need to go into these cars that might be even tighter than you? And if any way you can quantify how much that is taking from growth for the fiscal year?
RaviVig: Yes. Like most companies in our industry, we're experiencing order rates that far outstrip capacity. And some of this, as we previously discussed, has been a function of the lead time of the orders that have come in, where the demand has come in within our cycle times. So we intend to continue to add capacity to help address this. And we're pretty optimistic on the future as we move forward. We do see that the industry is readjusting its manufacturing. The automotive industry is readjusting its manufacturing based on components. We do not believe we are the source of any of this. We continue to service our customers to the best of our abilities and work with them wherever the supply -- wherever we have supply challenges.
Operator: Your next question comes from John Pitzer with Credit Suisse.
JohnPitzer: Yes, good morning, guys. Thanks for letting me ask a question. Ravi, just to pick up on your commentary around order visibility extending well into fiscal-year '22. I'm wondering if you could put some context or elaborate on that with some metrics? And as you think about the supply/demand imbalance in the industry, when do you think we get more into balance at the industry level? And do you have enough visibility in your current backlog to suggest up sequential beyond the June quarter?
RaviVig: So thanks, John. So the, if I could just take that and maybe Paul can add color to it. Yes, we have substantial backlog. We have substantial backlog that goes way beyond the next couple of quarters. We have great visibility on what the demand is. What we can also say is that as we ship to our customers, we have visibility, some visibility or limited visibility into their usage of the products. And to our knowledge, products are going right to the factory floors and that we do not see -- we are not aware of inventory builds occurring within our customer base. So our demand is really coming from just great acceleration on design wins and the impact to design wins. I think in the previous quarter, we had spoken about our record design wins, some of which we're going to start up at this point in time, and that would be ramping through this particular fiscal year. So we feel very good about the quarter. And Paul, do you have any more color on the backlog?
PaulWalsh: Yes. We have a great visibility into the backlog, as Ravi alluded to, John. The ordering patterns that are coming in now are primarily for orders that are out in the future. We look carefully at end customer or further down the supply chain, the inventory levels. And as we noted in the remarks, for instance, in the channel, the inventories are at historic lows. And yes, it's -- the pull-through of the POS is at historic highs. So we feel good about the end demand situation. And we just -- we'll continue to serve that.
JohnPitzer: That's helpful color. And then, Ravi, as my follow-up, I just wanted to unpack two of the opportunities within the industrial, the first being kind of the data center opportunity, which you've talked a lot about in the past. Can you help size that opportunity today, what it might look like three-plus years out? And then equally important, I think everyone understands your leverage to xEV on the auto side. But when you talked today about the EV charging stations, I'm kind of curious if you could unpack that a little bit? Especially with some of the bills coming out of D.C. For green infrastructure, what kind of opportunity might that be for you guys over a couple of year period?
RaviVig: Yes. So data centers are a really exciting area for us. I think we had spoken in the past about the product lines that we offer that are related to both 24-volt and 48-volt fans. These embedded fan controllers make products for our customers much simpler to design. And they also meet the customers' objectives of noise dampening, audible noise dampening, electrical noise dampening and electrical efficiency. So all of these are a reason why these fans are becoming more rapidly adopted within the industry. We are currently engaged with most data center providers and -- including companies like Amazon, Microsoft, etc. As end customers, we're engaged with most fan manufacturers in the world now that are supporting these large data center companies. So -- and we are seeing very good auto patterns from these customers. And we're seeing great visibility that this particular business for us is sustainable. Hence, our guide that said that we will continue to see growth in this particular area. Our 48-volt products will -- that we have discussed on data centers will be coming out shortly. And we expect that to continue to drive momentum. So when we look at xEV, we had spoken about xEV both in terms of the vehicles, where we are engaged with over 50 companies in the area of xEV. It is a fragmented supply chain in terms of onboard chargers, battery chargers, on inverters, etc. so it's not simply an inverter story for us. We see a strong pull-through in that particular area. But we also see within the industrial space, we see infrastructure associated with the xEV charging as being a great area of growth for us. So we are engaged with multiple customers at this point in terms of infrastructure we currently ship. We've discussed the breadth of our current sensing portfolio. In the past, we provide very user -- extremely user-friendly solutions in the -- in various current and voltage ranges. And this breadth of our portfolio has enabled us to secure sockets. So we feel very good about the industry trends, both in data center, as well as a xEV and xEV whether it is in the charging side, in the infrastructure side or whether it's in the vehicle side.
Operator: Your next question comes from Srini Pajjuri with SMBC Nikko Securities.
SriniPajjuri: Thank you. Good morning, guys. Ravi, I have a couple of longer-term questions. First, your auto business grew about 1% versus, as you said, 8%-or-so decline in volume. So that kind of suggests that your content is increasing in high single digits. And you also mentioned that your design wins are 40% about target. As you go through the next few years, should we expect somewhat similar content increase for you? Or do you see an opportunity to even grow those high single digits to an even higher level?
RaviVig: Yes. Thank you, Srini. So the -- we've had a good year. I think one of the growths of -- this low single-digit growth over an 8% market decline really speaks to the strength of our design wins, the strength of our acceleration in this particular market. For now, we continue to monitor the market. We continue to believe that we have a low -- a high single-digit kind of content expansion story for us. We expect that story continues to offset internal combustion with ADAS and comfort and convenience and xEV. So we do expect that our story is quite robust and resilient in the future, but we still are targeting the mid- to high single-digits in terms of content expansion. For 2024, as we've discussed, we are targeting the LIDAR business we expect in calendar '24, which is our fiscal '25 for some meaningful revenue. And we'll continue to report progress on that.
SriniPajjuri: Got it. And then Ravi, given all the supply issues in the auto industry, I think there is at least some discussion about moving away from JIT, just-in-time inventory practices in the industry. So I'm just curious, are you seeing any indication that your customers -- as we come out of this supply constrained environment are your customer's kind of looking to kind of carry higher levels of inventory going forward? Any discussions on that front as to how we might come out of that and how that might change your business going forward?
RaviVig: Great question. And so that story has still to be written. So at this point, there are customers that are in discussions with us about securing -- creating a secure supply base for the next few years. We are engaged with those customers on developing business conditions that allow us to fulfill their requirements. I think some of the car manufacturers are beginning an engagement with their supply base on how to secure semi capacity. They're recognizing that semiconductors are a different business than the traditional automotive supply model. I don't believe that the industry is in a position to fulfill very large inventory builds at this point given the large -- given the content expansion that's occurring. So I think the first phase is going to be to basically respond to what we would call design wins and be able to make sure that we secure run rates for customers over the next year, year and a half. There will be at some point in time, and we're not sure when, a layering of some inventory. But that's not in the near term.
Operator: Your next question comes from Mark Lipacis with Jefferies.
MarkLipacis: Hi. Good morning. Thanks for taking my question. I had a question on your distribution strategy and the industrial markets for you. A lot of semiconductor companies seem to be deemphasizing distributor's kind of trending to taking the distribution function back. You seem to be embracing the channel. Can you just help us understand; maybe peel a layer of the onion here, what are the distributors doing for you? Are they creating demand? Are they just doing fulfillment? Are they helping you in particular geographic areas? And maybe as part of that, the second part of the question would be how should we think -- once we get through all the supply chain issues, how should we think about the growth of your industrial markets versus your automotive markets once we get through all this? That's all I had. Thank you.
RaviVig: Thanks Mark. So our distribution business is an extraordinarily valuable channel for the company. And we do know that larger competitors are bringing businesses back in house. We look at distributors as a leverage of our selling channel. They bring us opportunities; they provide additional touch points to customers that our direct sales team would not be able to achieve. And they bring us great margins in terms of gross margins for the company or standard margins in terms -- for the company. So for us, distribution is an extraordinarily value channel. We do have some portion of distribution that focuses on fulfillment. We use distributors for fulfillment in areas where we may have currency or exchange challenges, etc., where local warehousing and inventories are required, and we do not have that infrastructure. But in all cases, our distribution business is very profitable. Now the benefit of distribution for us is it allows us to touch and access small customers, something that for a company our size would be extraordinarily difficult given the size of our sales team.
PaulWalsh: Is there follow-on to that?
MarkLipacis: Yes. Thank you.
RaviVig: Mark did I -- did you have a follow-up here? Sorry.
MarkLipacis: Yes. The second part of the question is how should we think about the growth of your industrial markets versus your automotive once we get through the supply chain issues, particularly what we're seeing in the automotive side.
RaviVig: So our industrial market, really, I think we've spoken about this before, it's anchored on a really good -- on great growth vectors. So it's -- we expect to be in that -- in the double-digit range for our industrial market. And then we expect that this is going to be anchored on really good basic foundations, electrification within industrial data centers, with industrial factory automation. And then you're starting to move toward the two-wheelers, et cetera. So great opportunities for us. I think we're looking at the double-digit growth rates.
Operator: And your next question comes from Vijay Rakesh with Mizuho.
VijayRakesh: Yes. Hi, Ravi and Paul. Great quarter and guide here. Just a question on the industrial side. Obviously, very strong numbers there. You mentioned 21% year-on-year growth and data center growing three x year-on-year. Just wondering what the mix was between green energy and data center and the factory automation side and how you see those three growing as you look out?
RaviVig: Yes, Vijay, we don't really provide that level of detail. And as you know, all of these have many cycles within them. So -- but on the long-term perspective, we see data centers as having a great strong growth vector. We expect to outperform the data center market in general just because of the conversion from single-phase to three-phase fans. So -- and we've -- and our recent performance has proven that. When I look at factory automation, et cetera, you can see that there's great investment going on right now to increase manufacturing capacity worldwide. And we see that as being a good growth vector for us, too. So for us, industrial is strong. Broad industrial is also strong, which is being serviced by our distribution business. And again, I'd say, if I pack it all together, we expect the double-digit growth.
VijayRakesh: Got it. Great. And just a bigger question again on the mix side. Obviously, xMR is the key driver in one of the bigger markets that you dominate, and you're seeing good traction into sensing on xEV and ADAS. I was just wondering what's the mix between -- if you look at legacy haul versus xMR for you, either in autos or just for the company as a whole, do you give any qualitative or quantitative direction on that? Thanks.
RaviVig: Yes. So xMR is an emerging segment for us. We focus on xMR on silicon, where we add value to the technology as opposed to simple xMR elements, which are the current generation of products that are out in the marketplace. Our xMR on silicon, we believe, is extraordinarily broad in its reach. We released products in transmission. We've been working in terms of wheel speed sensing. We are already shipping. It's had tremendous year-over-year growth. It's a long-term growth vector for us. We will not see this as a near term. But we will continue to announce products in this area. We continue to invest in this particular area. And we continue to secure sockets in this area.
Operator: At this time, there are no further questions. I will now hand the call back to Katherine Blye for closing remarks.
Katie Blye: All right. Thank you, everyone, for joining us today. And this concludes our call.
Ravi Vig: Thank you.
Paul Walsh: Thank you.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect.